Operator: Ladies and gentlemen, thank you for standing by and welcome to Q2 Earnings Call and February Sales Conference. I would now like to hand the call over to your speaker today, Mr. Richard Galanti. You may begin your conference.
Richard Galanti: Thank you, [Buena] [ph], and good afternoon to everyone. I will start by stating that these discussions will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that may cause actual events, results and/or performance to differ materially from those indicated by such statements. The risks and uncertainties include but are not limited to those outlined in today’s call as well as other risks identified from time to time in the Company’s public statements and reports filed with the SEC. Forward-looking statements speak only as of the date they are made and the Company does not undertake to update these statements except as required by law. In today’s press release, we reported operating results for the second quarter of fiscal 2021, the 12 weeks ended February 14, as well as February retail sales results for the four weeks ended this past Sunday, February 28. Reported net income for the quarter was $951 million or $2.14 per share, compared to $931 million or $2.10 per diluted share last year. This year’s results included $246 million pre-tax or $0.41 per diluted share and costs incurred primarily from COVID-19 premium wages. Net sales for the quarter increased 14.7% to $43.89 billion from $38.26 billion a year ago in the second quarter. Comparable sales for the second quarter of fiscal 2021 were as follows. For the 12-week period U.S. comps were reported at 11.4% and excluding gas deflation and FX 12.6%. Canada reported at 13.4%, ex gas deflation and FX 10.6%. Other International reported at 21.5%, ex gas deflation and FX 17.7%. All told, total Company reported at 13.0% and ex gas deflation and FX 12.9%. E-commerce on a reported basis was 75.8% and FX 74.8%. In terms of the second quarter comp sales metrics, our traffic or shopping frequency increased 1% worldwide and up 2.7% in the U.S. on a year-over-year basis during the quarter. Our average transaction or ticket was up 11.9% total Company and 8.5% in the U.S. during the second quarter. Foreign currencies relative to the U.S. dollar positively impacted sales by approximately 110 basis points and gasoline price deflation negatively impacted sales by approximately 100 basis points. I’ll review our February sales results a little bit later in the call. Going down the income statement, membership fee income came in reported at $881.5 million or 2.01%, compared to $816.4 million or 2.13% in the quarter a year ago, so up $65 million or 8%. Excluding the impact of FX, the $65 million increase would be $56 million, which would represent a 6.9% increase, excluding the impact of FX. No openings occurred in fiscal – in the second fiscal quarter both this year and last year in the fiscal quarter. In terms of renewal rates, the U.S. and Canadian renewal rate came in at as of for Q2 at 91.0% as of Q2 end. This was up 0.1% from the 90.9% at the end of the prior fiscal quarter. Worldwide our total Company renewal rates were 88.5%, as of Q2 end also up 0.1% from the prior quarter’s number of 88.4%. In terms of number of members as of Q2 end, both member households and cardholders, in terms of households at Q2 end we came in at 59.7 million, up from 59.1 million 12 weeks earlier and total cardholders 108.3 million, up from 107.1 million 12 weeks earlier. As of Q2 end paid executive members were 23.8 million, an increase of 506,000 during the 12 weeks since Q1 end. Moving down the income statement to the gross margin, this year’s gross margin came in at 10.96%, 2 basis points lower than last year’s second quarter on a reported basis of 10.98%. Excluding gas deflation, it would have been 11 basis points lower. As I always ask you, do a little chart here to show some of the components of margin. Two columns, reported and the second column without gas deflation. First line item would be core merchandise. On a reported basis core merchandise margin year-over-year was came in at plus 71 basis points, ex gas deflation, plus 63 basis points. Second line item, ancillary businesses, minus 53 basis points and then without gas minus 55 basis points. 2% reward, minus 6 and minus 5. Other minus 14 and minus 14. So all told on a reported basis year-over-year minus 2 basis points and again ex gas deflation minus 11 basis points. So as you can see from this chart, the core merchandise component was higher ex gas deflation by 63 basis points. Similar to the last several fiscal quarters’ sales penetration has shifted to the core business, resulting in higher contribution of our total gross margin dollars coming from the core operations versus a year earlier. Looking at the core merchandise categories in relation only to their own sales, core on core, if you will, margins year-over-year were higher by 71 basis points. Fresh foods was again the biggest driver here. With strong sales in fresh, we benefited from the efficiency gains and labor productivity and significantly lower spoilage. That being said, the other three major merchandise categories, food and sundries, softlines and hardlines all had higher margin percentages year-over-year in the quarter as well. Ancillary and other business gross margin was lower by 53 basis points and by 55 ex gas deflation in the quarter with most of the negative impact coming from gas and to a lesser extent from the aggregate of travel, hearing aids, pharmacy and food courts offset a little bit by a positive impact from e-com. Costco Logistics, which was our Innovel acquisition a year ago, impacted ancillary margins by 6 basis points to the negative. 2% reward, you can see was impacted negatively by 5 basis points implying that more higher penetration of our sales are coming from the executive membership group. And other is the minus 14 basis points. All of this is attributable to the cost of COVID-19 or about $60 million of the $246 million previously mentioned. These are the direct costs for incremental wages allocated to our manufacturing, production and fulfillment operations. Moving on to SG&A. Our reported SG&A in the second quarter was higher or worse year-over-year by 11 basis points on a reported basis, coming in at 9.89% versus 9.78% a year earlier. The minus 11 ex gas deflation would have been a minus 3. Again, doing a little chart of comparison with two columns, both reported and then without gas deflation. First line item would be operations, plus 31, so lower or better by 31 basis points. Core operations was on a reported basis. Without gas deflation plus 38, so lower or better by 38 basis points. Central minus 3 basis points and minus 2. Stock compensation plus 3 and plus 3 and other minus 42 and minus 42. You add those columns up on a reported basis again, SG&A was higher year-over-year by 11 basis points and ex gas deflation higher by 3. The core operations component when you look at that was better by 31 or 38 excluding the impact from deflation. SG&A in the core, excluding the COVID-related expenses, which I’ll discuss in a moment, was significantly leveraged with a strong core merchandise sales increases. Central, again minus 2 ex gas deflation stock comp, plus 3 both small year-over-year basis points changes together pretty much awash. And other was a minus 42 basis points hit to SG&A, which were incremental wage and benefit costs related to COVID or $186 million of that $246 million total amount. So $60 million of the $246 million hits the margin and $186 million of the $246 million hits SG&A. I’d like to take a minute here and discuss our COVID-related expenses and how they’re changing effective this past Monday, March 1. Over the past 12-month period, March 2020 through February 2021 companywide we expended approximately $1.60 billion pretax on COVID-related items. Of this amount, approximately $825 million related specifically to the $2 an hour extra hourly pay. The remaining $200 million plus was made up of several other items, including the few month period where employees 65 and older were paid to stay home. This was early on during the original lockdowns, cleaning of mass supplies, paying wages to several – for several weeks to our third-party demo service employees and assisting employees with pay childcare leave which continues. With the $2 an hour extra pay having been paid in for full year that extra amount has been discontinued as of this past Sunday, February 28. And effective March 1, a few days ago, we have implemented a permanent wage increase for hourly employees as well as most salaried warehouse employees. In the U.S. and Canada, we are permanently increasing our starting wage and most wage steps above that by a $1 an hour and increasing our top of scale hourly wage by $0.45 an hour on top of the previously planned $0.55 an hour increase for top of scale. With these changes, our entry level hourly wages will increase from $15 and $15.50 an hour to $16 and $16.50 an hour. Similar type increases are occurring in other countries where we operate. With this change, along with the reduction and/or elimination of several components of the $200 million plus expenses I just discussed, on a going-forward basis this $1 billion plus expensed over the past 12 months will be reduced by a little over one-half starting March 1, which is the beginning of week three in the current fiscal third quarter. Next on the income statement is preopening expense, pretty much the same year-over-year. This year came in at $9 million compared to last year’s $7 million, so $2 million higher. In both fiscal quarters there were zero openings, although this relates to upcoming openings as well. All told, reported operating income for the second quarter of 2021, including the $246 million mentioned earlier showed an increase of 5.8% coming in at $1.340 billion this year compared to $1.266 billion last year. Below the operating income line, interest expense was $40 million this year versus $34 million last year. Interest income and other for the quarter was lower by $26 million year-over-year. Interest income itself was lower by $19 million due to lower interest rates. Additionally, FX and other was lower by $7 million. Overall reported pre-tax income in the second quarter was up 3.3% coming at $1.319 billion this year compared to $1.277 billion a year earlier. In terms of income taxes, our tax rate in the second quarter was 26.4%, a little higher than the 25.9% recorded in Q2 of last year. For all of 2021 based on our current estimates, which of course these are always subject to change, we anticipate that our effective normalized total Company tax rate for the fiscal year to be in the 26% to 27% range. A few other items of note, in terms of warehouse expansion, as I mentioned, we – there were no openings in Q2. There were eight net new openings in Q1. So we’re eight year-to-date in the second half of the fiscal year, but this quarter, in the fourth fiscal quarter we plan to open 13 more net new units. Five of those will be in the U.S., three will be in Canada and five will be in overseas. Regarding CapEx, in the second quarter of fiscal 2021, we spent approximately $573 million. Our full year CapEx spend is still estimated in the $3 billion to $3.2 billion range. Moving onto e-commerce, e-commerce sales overall for the quarter ex FX increased 75% year-over-year. A few of the stronger departments over the counter and pharmacy, garden and patio, small electrics, health and beauty and majors, including consumer electronics, total online grocery grew at a very strong rate in the second quarter. The comp numbers just mentioned follow our usual convention. Our usual convention, which excludes our third-party same-day grocery program, which was up 450% year-over-year in the quarter. If we include the third-party same-day in our e-com comps, the 76% reported comp number would have been 96%. Costco Logistics, formerly known as Innovel continues to fulfill a greater percentage of our delivery items and has steadily increased since its acquisition a year ago March. In Q2, we made it a priority to enhance our white club service, which includes assembly or complex installation. It’s now standard on many items and offered as an upgrade on many others. Turning to COVID-19 and some of the issues and impacts surrounding it, we continued to enjoy strong core merchandise sales. I think our buying teams have done a great job keeping our building with stock despite outsized demand on some items and some supply chain challenges as well. From a supply chain perspective, overseas rate has continued to be an issue in regards to container shortage and port delays. This has caused timing delays on certain categories, including furniture, sporting goods, lawn and garden and even some food and sundries items like seafood, imported cheeses and oils. We expect these pressures to ease in the coming months, but it’s impacting everyone, of course. Regarding the pressures from high consumer demand, examples of areas where we have some supply issues on the non-food side, certain electronics due to chip and component shortages like TVs, computers and smart home related items, exercise equipment, bikes and outdoor activity items, lawn and garden items and appliances. On the food side, canned beverages have some shortages due mostly to the aluminum can issue of shortages. Bacon is up 45% in pounds and so for whatever reason, there is a lot of demand there. So there is a little bit of challenges there. Gloves, surface cleaning, wipes and sanitizing sprays and some paper goods. Fresh foods overall is looking pretty good. Our three warehouse curbside pickup test in Albuquerque is ongoing. We don’t really have a lot to add at this time as the test is recent and continuing. The pilot is going well. Our members have responded to it and basket size has actually surpassed our expectations. Our focus of course is how can we be more efficient in doing it and determining if this offering can become scalable and makes a firm sense for us. Turning to our February sales results, the four weeks ended this past Sunday, February 28, compared to the same period last year. As reported in our release, net sales for the month of February came in at $14.05 billion, an increase of 15.2% from $12.2 billion last year. Again, going down the numbers that were in the release. On the U.S. reported basis were up – on a same-store sale basis were up 10.3%. That’s both reported and without gas and FX. Canada reported 21.6%, ex FX 15.7%. Other International 25.7%, ex FX 20.6%. Total Company 13.8% reported, ex gas and FX 12.3%. Within those numbers e-com 91.1% reported and without gas and FX 89.4%. As with the quarter these numbers – the e-com numbers would be higher if we included the third-party same-day fresh. When we discussed last year’s February sales results, we pointed out that the fourth week last year had a big uptick in sales. That’s kind of was the beginning of what we felt was a little bit of consumer – pressure for consumers to buy in for fear of lockdown, again primarily related to consumers buying ahead of the anticipated COVID lockdowns and closures. That positively impacted last year’s February sales by approximately 3 percentage points. Similarly, sales in week four of this February, this week – week four of this year February were lower as we anniversaried that unusually strong week from a year ago. The estimated negative impact to the February month was approximately 3.5 percentage points. So the reported numbers of 13.8% and ex-gas and FX of 12.3% would have been higher excluding that impact. Our comp traffic or frequency for February was flat to last year worldwide and up 0.7% in the U.S., again some impact of that last week. Worldwide the average transaction was up 13.8%, which included positive impacts of 140 basis points from FX and 10 basis points of the gas inflation. Foreign currencies year-over-year relative to the dollar benefited February comps in Canada by 540 basis points, Other International by approximately 570 basis points and total Company by 140 basis points. Gas price inflation again positively impacted total reported comp sales by about 10 basis points, whereas the average selling price was about a percentage point higher year-over-year. In terms of regional and merchandising categories, the general highlights U.S. regions with strong results for South East, Mid West and Texas. Internationally in local currencies, we saw the strongest results in Korea, UK and Japan. Moving to merchandise highlights, the following comp sales results by category for the month and these exclude the positive impact of FX. Food and sundries were in the positive high-single digits. Departments with the strongest results were liquor, frozen foods and cooler. Hardlines were positive in the high 20%s. Better performing departments were toys and seasonal, sporting goods, hardware and majors, which again is both white goods and consumer electronics for the most part. Softlines were up – also up in the low 20%s. Better performing departments included housewares, small appliances and home furnishings. And finally, fresh foods were up in the low 20%s. Better performing departments included meat and deli. Ancillary business sales, as mentioned earlier, were down and they were down in terms of sales in the mid-single digits in February, primarily due to lower year-over-year sales in food court hearing aids and gasoline. Overall, relatively a good fiscal second quarter impacted, of course, by COVID expenses, impacted both plus and minus by various aspects of our business due to COVID and certainly as I mentioned in the ancillary, gas had the biggest of the ancillary hits. Finally, in terms of upcoming releases we will announce our March sales results for the five weeks ending Sunday, April 4 on Wednesday, April 7 after the market close. With that, I will open it up to Q&A and turn it back to Lena.
Operator: Thank you, sir. [Operator Instructions] Your first question is from Michael Lasser of UBS. Your line is open.
Michael Lasser: Good evening, Richard. Thank you for taking my question. My first question is on the gross margin expansion that Costco is [doing] [ph] over the last few quarters. Can we assume that as sales slow that you’re just going to give back a lot of these gross margin gain constraints going to go up and all the efficiencies that come along with double-digit comp go away. Or is there anything that Costco has learned that it’s now doing differently that will allow it to hold on to these gross margin [gains] [ph]?
Richard Galanti: Well, first of all, I don’t think we’re doing anything dramatically -. we were going to do anything dramatically different. I mean we’re already pretty aggressive on a lot of things. And of course, we’re always trying to drive sales with aggressive value and pricing. Probably the one area which can be a challenge or will be a challenge at some point is fresh. The particular strength in fresh foods for the last several quarters on a year-over-year basis has been the strong fresh has led to higher labor productivity, which is part of the cost component of that if you will manufacturing businesses as well as a lower spoilage or what we call damaged and destroyed in many cases given the strength you’re not throwing away as much stuff at the end of the day or a week, and you’re again be much more productive from a labor efficiency standpoint. At some point, that will subside is my guess. Beyond that, we feel pretty good about our ability to be very competitive and price along that way.
Michael Lasser: Okay. And you said going on the - wage expense, going forward this billion dollar plus expense will reduced a little by half early March 1 given the permanent wage increases. So we should just say half the $1 billion or $500 million of expense that Costco has incurred over the last four quarters is not going to go away, even though your wages will be increasing, your SG&A dollars should go down?
Richard Galanti: Well, SG&A, and then as I mentioned earlier, the COVID related premium wages the $2, that $800 plus million, a piece of that hit margin because of our manufacturing businesses, the labor involved on the manufacturing side, that’s part of cost of sales. And so again, if you looked at those proportions, I think on the $246 million, we said $60 million related to margin hit and $186 million related to SG&A hit. A simple guess would be you could take that type of percentage of these numbers and apply it quarterly may be a little bit more to SG&A than that those percentages. And so, yes, if you looked at the $1.60 billion that we talked about, and we say a little over half, so simple math would suggest a little over half of that should come back. Although, we’ll stop talking about COVID-related expenses too as we’ve now anniversaried it.
Michael Lasser: Understood. Thanks again, Richard.
Operator: Your next question is from Simeon Gutman of Morgan Stanley. Your line is open.
Simeon Gutman: Hey Richard, how are you? My first question is also on gross margin. Can you – I just want to clarify, because there was a big swing in the reported number. Core on core looked pretty healthy, very similar to the prior quarter. You said I think plus 71. And so the big swing here was pretty much mostly gas or all gasoline. And can you remind us, when does the gasoline margin compare peak? Does it get worse before it gets better?
Richard Galanti: I – year ago in the third quarter, we’ve pointed out that it helped us. But it’s like it’s – it is gas, it is volatile and the profitability in gas goes up and down dramatically. It’s a meaningful business for us. And as prices go up, we generally make less, which has happened of late. And I think not just for us, but the supermarket chains, the other discount stores that operate chains of gas stations. And so we – again directly try to point that out each time. But there’s no rhyme or reason it can change on a dime.
Simeon Gutman: Fair enough. And I guess just to clarify, but it is right the core looks like it was consistent with prior quarters, the big swing and the reported was just then the remainder was mostly due to gas in this quarter, right. Why it was down…
Richard Galanti: Right. Gas is more than half of all those other things [indiscernible] certainly travel is impacted as you well know right now, probably one of - the food courts, because we’re still not open with seating, essentially [indiscernible] as well. So all those are impacting, but gas is – was the prime mover there. I was looking back at last year, what we call again, what we call warehouse and other businesses, which again gas is a meaning when there are big swings, it tends to be gas is the biggest component of that. A year ago in Q1 versus a year earlier, that’d be Q1 2020 versus 2019. That number I don’t have the detail on gas, but it was 19 basis points to the positive. In Q2 year-over-year, it was 2 to the negative. In Q3, it was 21 to the positive. In Q4 it was 71 to the negative. So you can see it fluctuates. This year in the first quarter, it was 22 to the negative and now 55 to the negative. And again, there’s a lot of components of that number, not just gas, but gas generally tends to be the big mover there.
Simeon Gutman: Okay. That’s helpful. And then my follow-up question is on SG&A. If you look at SG&A year-to-date, so Q1 and Q2, and you exclude all the premium pay, right. We are excluding it from this year, even from last year, it looks like SG&A is still taking a step up year-over-year that’s higher than what looks normal like in prior years. And I don’t think that’s incremental wage changes. I don’t know if there’s anything else that’s changed in the business this year-to-date from an SG&A perspective, you’ll have easier comparisons because the premium stuff starts coming up in the back half. But is there any reason why you structurally stepped up in the first half of this year.
Richard Galanti: Dollar was – well, I think it’s a strong sales as a percentage of sales actually, I think you’ll find it goes directionally better.
Simeon Gutman: Okay, yes. I was looking on – yes.
Richard Galanti: I’m looking at core operations for all of fiscal 2020 versus all of fiscal 2019 on an ex gas deflation basis was lower or better by 25 basis points. Again, that’s not – we separate out that below the quarterly stuff or the unusual stuff, the COVID stuff, but the core business was lower or had lower or better SG&A percent by 25 basis points for the entire year. This year in the first two quarters, it was plus 62 and plus 38. So that’s on average 50.
Simeon Gutman: Fair enough. Okay. Thank you, Richard.
Operator: Your next question is from Chris Horvers of J.P. Morgan. Your line is open.
Chris Horvers: Thanks. Good evening. So I wanted to follow-up on that February commentary. So last February 2020, you did add a nine and that lasts or you did a 12 and that last week at [a 200] [ph] basis points. So that would suggest you did about a 20 in that the last week of February. And just doing the math, that would suggest that you were just slightly down if it was a 350 base point headwind down maybe on like a stack basis maybe like 1% or 2%. Is that right?
Richard Galanti: No, I think I agree with what you said about last year. This year the first three weeks were a little over a 17 and the last week brought that 17 down to our 13.8.
Chris Horvers: Right, okay. So yes, you were down.
Richard Galanti: Yes. Maybe I explained it differently each year, but yes, basically the 13.8 reported, what – for the first three weeks was a low 17 and the fourth week caused it to be a 13.8 for the whole four weeks.
Chris Horvers: Right. So sorry, your comp down – right, so your comp down high teens basically. So that – so as you look ahead it’s interesting because, but at the same time, as you look forward to comparisons remain tough, but you also meter traffic in your stores quite aggressively. I mean I think peers are up double-digits in the month of March and April and you’re actually down in April. So can you talk about to what degree do you think you actually left business on the table, as we think about just trying to model out against these comparisons going forward?
Richard Galanti: Well, I can’t speak for others. We’re frankly thrilled with our sales numbers in our and how we’ve done over the course of the last year. As you look at both March and our fiscal third quarter March, this giant step up in sales and traffic and hoarding, if you will, by customers started in week four of February and lasted through about 2.5 weeks into March. So we’ll talk about it specifically when we report March sales, as it relates to the fiscal quarter, which is essentially mid-February to mid-May, I don’t have the exact dates in front of me, but that 12-week period and included not only that tough comparison for those 3, 3.5 weeks, which included week four February and weeks, one, two, and part of three in March, but also when there was a lockdown and offset and that, and kind of late March into April and even early May, we had some very tough compares. And so that’ll make it in our view, all things be equal, an easier comparison. So I think there’s going to be a plus and a minus that probably add up to about even we’ll see. The next challenge of course, will be Q4, which is a mid-May through the end of August. That’s what we enjoyed comps in the 12% to 15% range on an ongoing basis into September, October as well. But for Q4 where we saw a lot of strengths, not only on the food side, but on the non-food side as people are buying things for the home as they weren’t traveling or going to sporting events and the like.
Chris Horvers: Okay. And I just want to follow back up on the February math, sorry to delay this, but it was – where you actually modestly positive in that last week, it just under comped the average and it brought it down.
Richard Galanti: Modestly positive, yes.
Chris Horvers: Got it. Understood. Thanks very much.
Richard Galanti: Yes.
Operator: Your next question is from Chuck Grom of Gordon Haskett. Your line is open.
Chuck Grom: Hey, thanks a lot, Richard. I know that’s kind of has been a drag on the top line, but when you look at your business geographically and overlay that with markets that are maybe a bit farther along in the reopen process. Just I’m wondering if you’ve noticed any improvement in gas gallons.
Richard Galanti: You are a little bit, overall I mean our gas gallons year-over-year, I think in was February the quarter and the quarter were down 9% or 10%, which is an improvement – relative improvement. And within that, in some of the regions like in the South, Texas, Florida, you’ve seen a little better improvement.
Chuck Grom: Okay, great. Thank you. And then just on the balance sheet inventory dollars are up 17% – roughly 17% is a little bit ahead of sales. I guess how are you feeling about the currency of inventory as you transition out of for insurance and some of the spring items?
Richard Galanti: Yes, we made a conscious effort a couple of months ago. I think even on the last quarterly call, we talked a little bit about some of the challenges with port delays both on the farm side of where the merchandise is coming from, as well as the ports along the West Coast of North America in particular and container shortages. So we were front-loading and not everything came in short. So we have frontloaded items that are not seasonal items or frontloaded extra inventory of basics. And so I’m not concerned about that at all.
Chuck Grom: Got it. Thank you.
Operator: Your next question is from Mike Baker of D.A. Davidson. Your line is open.
Mike Baker: Hi, thanks. I just wanted to ask about your view on inflation, obviously pricing in the market. One of your big competitors talk about being satisfied with their price gaps, which maybe means it’ll be a little bit less pricing pressure out there. So how do you think about that? And again, how do you think about inflation it’s spiked mid-year sort of moderating a little bit, but now commodity costs back up, maybe it goes up again from here.
Richard Galanti: Well, I’d say in the last several months, we’ve seen a little more inflation than we had in part because of some of the container shortages, freight costs are a little higher, there’s some high demand items or product shortages due to supply chain in general, that we want up. When asked on a broad stroke basis on some of these items, what type of inflation we’re seeing, sometimes as much as 2% to 4%, sometimes less than that. And on meat, it’s trended upward in the mid-singles, pork in the high-singles. That’s why bacon, I mentioned bacon and – but we feel good about our competitive ability. We’re – we always want to be the last to raise and the first to lower. And but we feel, again, as you look at our margins, we feel good about where our margins are coming in and our ability to be very competitive out there.
Mike Baker: Okay. That makes sense. So are we seeing our panic buying and bacon yet or not at that point yet?
Richard Galanti: Probably tomorrow, because I mentioned it.
Mike Baker: Exactly. I’m heading there tonight. Thanks.
Richard Galanti: Yes. Thank you.
Operator: Your next question is from Karen Short of Barclays. Your line is open.
Karen Short: Hi, thanks. I wanted to get back to this SG&A and/or I guess gross margin question. So when I look at the EBIT growth in this quarter versus sales growth, and I back out COVID costs. The second quarter was by far the narrowest gap. So 3Q, 4Q, 1Q, 2Q like you were a third of what you were in 1Q, like half – more than half or less than half of what you were in 4Q, 3Q. So it clearly is a question of like the gross profit dollar growth versus the SG&A growth. So I guess I’m wondering, can you just talk through that a little bit more, because the change in this quarter, this is somewhat glaring.
Richard Galanti: Yes. Well, I think again Karen gets back to gas. Gas is a high sales dollar number and the impact to somebody put me on mute please. The impact of gas is both dollars and average price to lower gross margin as well. That’s really the biggest piece of it.
Karen Short: Right. But I’m talking EBIT dollar growth, excluding COVID costs versus the sales. So I guess, yes, I mean I guess sales I have to adjust for gas, but it just still seems like a very widespread or why…
Richard Galanti: Well, I can just, again, without being specific – dollar specific, the biggest dollar impact year-over-year profitability of, if I – when I mentioned these various pluses and minuses was gas.
Karen Short: Okay.
Richard Galanti: And the combination in it’s a 10%-ish piece of our business, which had a lower gross margin and lower dollar price per gallon. Both of those things would touch to lower sales, lower profits, and that’s impacted.
Karen Short: Okay. And then just turning to the forward look on gross margin, obviously appreciating the fact that strength and the fresh strength will hurt potentially gross margins as we get into the next couple months. But ancillary should I guess help offset some of that appreciating gas may is you can’t predict that, but can you maybe talk through the dollar buckets of gross profit dollars in the other categories within ancillary?
Richard Galanti: Well, again, travel should improve recognizing how much will reprove we’ll wait to see, but its starting to improve a little bit. Food courts will improve the same thing as we start to put out seating and expand what we offer there. Now when that occurs and how that occurs, we’re not – we’re probably going to do it in certain regions first and go from there. Gas is the big unknown in the big guesstimate of which direction it goes each week. But we’ll, again, try to point that out to you. Here, we’ve seen a – we have seen a period improvement in hearing aid and optical.
Karen Short: Okay. And then just last one for me. Is there any impact of the SG&A dollars from the enhanced white glove service that you could call out?
Richard Galanti: There is a better efficiencies, although keep in mind, we’ve really grown this thing fast of taking our – some of our existing, not only have these departments grown dramatically in the last year. We were using third parties for a lot of it, and we continue to push more on there and to improve the service, to lower the price. And so I think you should see that should continue to improve, but it was not without its costs to accomplish all that in the last quarter.
Karen Short: Okay. Thank you.
Operator: Your next question is from Paul Lejuez of Citigroup. Your line is open
Unidentified Analyst: Hey everyone, [indiscernible] on for Paul. I was wondering if we could circle back on the inflation question and kind of go through some of the puts and takes of inflation items that you’ll be anniversary coming up in the coming quarters.
Richard Galanti: Well, I don’t think we’re anniversary any of them as soon. It’s just starting to happen in the last month or two. And again, a lot of it has to do in our view. You’ve had a little bit of inflation over the last year with on things like paper goods, because of just a huge demand in the shortages. But in terms of some of the recent things with container shortages and port issues, some supply issues on chips and components of big ticket items as you know cost of Steelers up 50% to 100%. All those things impact that. I think it’s more – if this has happened in the last several months versus a year ago.
Unidentified Analyst: Got it. Can you quantify the impact of freight costs and some of the container issues that ahead on this most recent quarter?
Richard Galanti: I can’t off with the notes that I have in front of me. I mean, anecdotally, if you look at what is the cost per container coming over used to be its up 10% to 15%.
Unidentified Analyst: Okay, that’s helpful. That’s it for now. Thank you.
Richard Galanti: Yes.
Operator: Your next question is from Scott Mushkin of R5 Capital. Your line is open.
Scott Mushkin: Hey guys, thanks for taking my questions. So I kind of wanted to think about the business more strategically Richard and understand, we went through a period where you did the Citibank deal, and then you guys didn’t talk too much about it, but you really expanded your fresh offerings, which I think helped the clogs and drive some traffic. I was wondering if you think about the business over the next couple of years, and we think about kind of self-help initiatives. Where do you think there’s some levers that you guys can pull?
Richard Galanti: Well, I think first of all, some of them are ongoing. Kirkland Signature continues to be something that will continue to increase the offerings that we do. There aren’t a giant billion dollar ones, items like that. There’s a handful of items like paper towels and toilet paper and water that are huge. There’s the cake cups and those things that are in the hundreds of millions of dollars, but there’s lots of 20s to 100s out there. And we continue to do that with all kinds of quality, organic packaged food items as well. I think one of the things that we’ve seen from some of our vertical integration starting to pay off, we’ve got the chicken facility at full capacity now. We’ve got a great bakery commissary, we – two years ago, we opened a second meat plant. We’re seeing some improvement from that. We’re also starting to identify items that historically we manufactured in one place, generally the United States, and then shipped all over the world, whether it’s roasting of nuts and cashews. And yes, and doing bringing all that product from where it’s grown to the U.S. for roasting and packaging and shipping out worldwide. We now have a supplier in Asia that is doing all the needs for Asia, Australia, and dramatically we’re able to – or dramatically reduce the price and drive sales and drive bottom line dollars for us. We’re doing that with all kinds of – we’re looking at all kinds of avenues to do that with from paper goods to things like that as well. So I think these are long-term opportunities, but there should be a lot of them over the next several years. Also e-com notwithstanding, our start back in the early 2000s, we like everybody has that’s become more important over the last year in particular, it’s approaching 10% of our business and continue to grow nicely and we’re driving – we’re getting better at doing it and getting more clicks and the like, and that regard. So I think e-commerce and then the big and bulky our acquisition of Innovel last March, all you see now, and we pointed out, I think for the last three fiscal quarters, a 6 or 7 basis point hit to gross margin as it relates to the – it’s like in manufacturing, it’s a service business that goes ultimately back into our cost of sales, what that thing costs. Notwithstanding the fact that that has helped drive sales of big and bulky items. And in fact, lowered the prices to our members on some of those items. So we think that’s as expected, it was going to be earnings dilutive at the operation standpoint for the first couple of years and be fine there, but more as importantly, if not more importantly growing big and bulky as part of our business, we’re seeing big – continued big increases from mattresses to white goods to exercise equipment, notwithstanding the fact that there’s been some shortages in some of those items.
Scott Mushkin: That’s great. Thanks for all the color. That was perfect.
Operator: Your next question is from Scot Ciccarelli of RBC Capital Markets. Your line is open.
Scot Ciccarelli: Thanks. Good afternoon, guys. So as you guys get food inflation on meat, pork, et cetera, our price increases there a direct pass through to the customer. Or do you guys try to be sticky on some of your prices the way you have been with rotisserie chickens, for example.
Richard Galanti: I don’t think we’ll be as extreme as the old chicken example from 15 years ago, where we stuck with continue to stay at 499 and figure out ways how to do that. But certainly, we are – we want to be the last, we want to be as sticky as possible and hold off and we’ll wait until our cost has come through the system. But overall, particularly on fresh items, those prices probably change more often than not both at traditional supermarkets, as well as the Costco’s world.
Scot Ciccarelli: Got it. And then you…
Richard Galanti: And in fact, the other thing I want to mention is, we’re a little unique in terms of our product mix. When you look at it, we’re selling part of our meat business is prime. And those are the types of things where we can get a strong margin for us and show you a greater savings because the markups traditionally on something like that special item, or even higher at traditional retail outlets. So we think overall we’re a good stead in that regard.
Scot Ciccarelli: That’s helpful, Richard. And then you did mention your chicken plant, as you know, I think it’s been for a bit fully up and running. Are you generating the efficiencies you guys originally anticipated when you first went down that, that road?
Richard Galanti: We’re pretty close. I mean we’re at full production, which is similar. There’s been some puts and tastes. We – as we built it, we decided to put in additional things that we think provide for higher quality product like air chilling and things like that. The COVID expenses certainly have impacted us more than nobody had planned for it. So that of course, should improve over the next year. I think it’s – the feed costs, we’ve been fortunate. Historically, we’ve been – the first year we were fortunate feed costs are coming up a little bit, but we’re also finding that the chickens are growing a little better than we thought. And so all those things add up to we feel pretty good about it.
Scot Ciccarelli: Great. Thank you very much.
Operator: Your next question is from Greg Melich of Evercore ISI. Your line is open.
Greg Melich: Hi, thanks. I just – I want to start just to clarify the inflation at the risk of being for a comment on it. You said that there are items that are higher, right. But the 2% to 4% comment, Richard, was that saying what you actually think it is now in your average ticket? Or is that just saying some items are in other words just, would you estimate the whole benefits like 1% or 2% right now?
Richard Galanti: Yes. Some categories are in that 2% to 4% range and some are little, I mentioned are like meat and pork are a little higher than that, produces flat, but I – we don’t do life anymore, but I think if you look at our costs on average, the view is probably flat up 1%, 1.5%, but somewhere in that range that’s I guess.
Greg Melich: Okay. Fair enough. Thanks for that clarification. Second is what you went through the renewal rates, I guess as you’re thinking about it now what do you think you could really get renewal rates to, and maybe tie it in with some of the other things you have to really drive loyalty, like the credit card program. Any update there in terms of what sort of engagement you have with it, what percentage of customers or sales are on the card to help us understand where that renewal rate could be trending?
Richard Galanti: Sure. Well, look, what we internally call the triple plays, not only getting to become a member, but upgrade to the executive member and then to apply and get the Citi Visa card, recognizing that not everybody that applies for it gets it based on credits that’s – that credit decision is made by issuing bank, not by us. And the – sorry, I lost my train of thought, but renewal rate – in terms of improving renewal rate, as we do add people to the credit card and to executive membership, both of those things tend to increase provide for more loyal customer or a high renewal rate. Also we’re doing more things to get you to auto-renew whether it’s on the Citi Visa card or working on some other areas right now as well, to be sent we get you to auto renew by almost a facto there’s going to be a high renewal rate on those as well. First and foremost, ultimately if the things we do to make you want to remain a member of Costco, we think that some of those things like upgrading to executive membership, which we’ve shown you continues to be part of our quarterly positive there, as well as getting more people to auto renew. Can you hear me?
Greg Melich: Yes, I can. That’s better.
Richard Galanti: Sorry.
Greg Melich: We heard that, okay. And last, is there any hope on travel bookings? And I sort of glimpse is there that still depressed?
Richard Galanti: It is coming back, but it’s the same thing I said back in the spring, in the summer when there was some easing of COVID statistics and people were starting to book out for Christmas and even into the winter and spring of 2021, but they did it knowing that there was generally full cancellation capabilities. We’re now seeing, and as you might expect, many of those things were canceled. Now we’re seeing the same thing again. We’ve also – travel department, we’re doing pretty well, relatively speaking on car rentals. And as it relates to travel and hotel bookings, we have added some additional domestic items and Mexico items for the domestic – for the U.S. domestic market as well. Hawaii and Mexico are pretty strong. Again, within the relative framework, there is some four and five star things that we’ve gotten in other parts of the world, which wouldn’t talk to us a few years ago, but so, we’re optimistic it’s going to come back and expected. And we’ve certainly, I think improved our offerings.
Greg Melich: Excellent. I guess putting a hard pressure monitors across from the bacon going forward and good luck.
Richard Galanti: There’s a fast food retailer out there that has a interesting name for that. Anyway, why don’t we have two more questions?
Operator: Your next question is from Greg Badishkanian of Wolfe. Your line is open.
Spencer Hanus: Hi, this is Spencer Hanus on for Greg. My first question is how should we think about how much of the share gains you have this year you’ll retain. And then the low-single digit comp in the last week of February, how did that compare to your internal expectations?
Richard Galanti: Well, I’ll answer the last question first. I mean we – all we knew is that week four of February compared to a year ago and weeks one and two, and part of three of March were going to be tough compares. I think we actually did a little better than we thought, but still it was a low number given the strength a year ago. And I’m sorry, what was your first question?
Spencer Hanus: Market share, TV market share.
Richard Galanti: TV market share, look at the end of the day, some of it’s going to be sticky and some of it’s not. We all personally hope that restaurants will reopen and we’ll all be able to go out and enjoy and socialize that will impact retail food sales at Costco and supermarkets, and the likes to some extent. That being said there are other retail formats, whether it was restaurants and food that have closed for good, apparel retailers, other general merchandise retailers. So in some ways, some of the stickiness unfortunately relates to certain aspects of retail that have closed for good. And some of it will be that they’ve gotten more comfortable buying some of these things from the likes of Costco. I hope we lose some of it to the examples of restaurants and the like, and other stores that were impacted as they can reopen. And – but I’m sure that we will end up keeping a little bit of it as well.
Spencer Hanus: That’s helpful. And then for the new members that you’ve recruited during COVID, how are they different than previous cohorts? And are you expecting to see renewal rates in line with the overall company average?
Richard Galanti: Whenever we sign up a member, if you look at our 90% point whatever percent renewal rate in the U.S. and Canada, that includes some 10-year plus members that are 93% or 94% or 5%, and include some members that have in the last two years, that might be mid-70%s to mid-80%s. So you’re always from zero to year one to renewal, it’s going to be a lower rate in year one to year two, it’s a combination of two-year members plus some new one-year members picks that renewal rate up. My guess is some of these new ones again, they’re going to follow that format. The other thing though, is in some cases, we think we’ve gotten new members sometimes in markets where we don’t even operate physical stores, not a lot, but it can’t hurt.
Spencer Hanus: Got it. Thank you.
Operator: Your next question is from Rupesh Parikh of Oppenheimer. Your line is open.
Rupesh Parikh: Good afternoon. Thanks for taking my question. So Richard, I just wanted to ask you just about e-commerce fulfillment capacity. So you guys are obviously registered very strong growth last several months. So just curious where you guys are from a fulfillment perspective and whether you would expect to see a step up in investment going forward.
Richard Galanti: Well, I think there has been a step up in the last couple of years, and it’s continued this year. We are building additional fulfillment as we speak fulfillment capability. We’re getting better at it, but so is everybody that’s, I’ve seen this kind of wild growth. In some ways, we think it may be easier for us because of the fewer items. We’re doing the two-day groceries still through our business centers, which works pretty smoothly. So it is a larger percentage of the $3-ish billion we spend every year than it used to be, but certainly the biggest single percentage is still opening new warehouses.
Rupesh Parikh: Okay, great. And then maybe just one follow-up question. So clearly, you guys have – sorry, go ahead.
Richard Galanti: In addition to physical capital expenditures, there’s also IT capital expenditures, which is part of our CapEx as well. And there’s a lot of investment in that around everything from e-commerce from mobile app to fulfillment in the like.
Rupesh Parikh: Okay, great. And then just given the announcement on the increase in minimum wages, do you see any other levers going forward that can offset some of the wage pressures that we’ve seen maybe on a multi-year basis in your business?
Richard Galanti: From the beginning, I used to think about that question 30 years ago. And what we find is, is that we’re always able to, because we’ve got a great employee base and that are hardworking and loyal and know that we care, we as a company are, they are cared about. I think that we feel that we’ve seen over the years, everything from inventory shrink to labor productivity, certainly we measure these things too, but labor productivity, and a lot of it has to do with coming up with ideas many of which are these ideas come from our employees that are on the ground, if you will working in the meat department, figuring out how to be more efficient with pounds per hour, per labor hour. So we’ve always figured out ways, not worried about let’s figure out how to save it, and then we can give it, pass it onto them, let’s pass it on and we’ll get there from an efficiency standpoint. And it seems to have worked for us.
Rupesh Parikh: On the CapEx basis…
Richard Galanti: Yes. Other things like, we’re now have self-checkout in 60% or 70% of our 558 Costco’s in the U.S. It’ll be on virtually all of them. And we’ll see in another countries as well. That’s the savings that took us awhile to believe part of it and to figure it out, I think we’re on the third format of it, the version of it, but it’s working in our environment the way we want it to, and we see savings there. So we’re constantly figuring those things out. And we attribute a lot of that to many of these good ideas don’t come from the rooms here at the office. They come from the people out on the floor.
Rupesh Parikh: Okay, great. Thank you.
Operator: Your next question is from Edward Kelly of Wells Fargo. Your line is open.
Edward Kelly: Hi Richard, thanks for letting me here. I just want to go back, first of all on the ancillary gross margin, you talked about gas being a bit more than half, so the remainders pandemic related, I guess 15, 20 basis points. Has that drag been consistent there since the pandemic began? So if I look back over the other quarters, whatever sort of remainder there would just be the gas movement.
Richard Galanti: Yes. I think it was worse last year in Q3 and – but it’s been similar. It’s improving a little right now, but still negative year-over-year. The big delta is as you had gas and quarters where we talked about gas was a big positive. It offset – more than offset some of these other negatives.
Edward Kelly: Right. Okay. So we have that coming back when life normalizes, then when you look at the other segment of the gross margin, how much of that’s going to come back because the 16 with the wage increase play a role there. So should I assume only half of that comes back?
Richard Galanti: Well, I think from simple math, we talked about the $246 million for this quarter in total for COVID-related and of that $60 million impacted margin. So $60 million over $246 million, whatever that percentage is a little under 25%. And on an annual basis, we talked about the $1.60 billion a little over half. So just take half of that. And that’s kind of the net improvement or pre-tax improvement in margin from that. But there – I’m sure if there’s other outliers, we’ll explain them to you as we go into each quarter. Some of the things that’s a easy one, because it’s big and we know what we’re doing with it. The unknowns are how quickly will travel come back. Travel is a very high margin, low SG&A business. Food courts, it’ll improve dramatically once we get tables out there everywhere, and that’s not going to happen tomorrow afternoon, but it’s going to happen God willing over the next several months.
Edward Kelly: Okay. And just one last one for you on, so on the core, historically the core margin really hasn’t been up, it’s obviously doing very well right now going forward, I mean you could still have maybe mix benefit from things like stimulus, but don’t we eventually just sort of assume that what we’ve seen over the last few quarters sort of normalizes back to pre-COVID level and we take the margin down by that I mean.
Richard Galanti: I feel a little stronger than that, in terms of the positive. I think that on the fresh side, yes. At some point, when you have your tougher year-over-your compares, you’re not going to get those big basis point improvements from spoilage and labor productivity. Now some of it though, at these new levels, you have more productivity. We’re not going to necessarily lose it all. But if it’s a tough compare, you’ll lose a little, you’ll lose some of it. So yes, on some of the other categories, particularly as we increase Kirkland Signature, as we sell certain things within fresh that are specialty items, where we can get a full margin and showed even greater savings in some cases, some of the vertical integration some of the things I mentioned, like the nuts and cashews, these are all little things, but those tend to offset some of those things. I’m not suggesting we’re going to keep it all, but I think that we’re going to do better than people are than the question as a concern about.
Edward Kelly: Great. Thank you.
Richard Galanti: Thank you. Well, thank you for listening. We’re all here. If you have any additional questions, you know who we are. Have a good afternoon. Thank you, Blenna [ph].
Operator: You’re welcome, sir. And ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.